Operator: Welcome to the Bright Horizons Family Solutions fourth quarter 2014 earnings conference call. [Operator Instructions]. It is now my pleasure to introduce your hearts to David Lissy. Thank you. Sir, you may begin.
David Lissy: Thanks Jen and greetings from up here in Boston to everybody or should I say snowgeddon get where the confetti has been flying from the sky ever a since the super ball. Joining me on our call today is Elizabeth Boland our Chief Financial Officer and before we kickoff our formal remarks I'll let Elizabeth go through the Safe Harbor statement and I'll be back in a minute. Elizabeth?
Elizabeth Boland: Thanks, Dave. I hope everyone has seen our earnings release which went out today after the close of the market. This call is being webcast and a complete replay of the recording will be available. Both the release and the webcast version are available under the investor relations section of our website at brighthorizons.com. In accordance with Reg FD we use these conference calls and other similar forms to provide the public and the investing community with timely information about our recent business operations and financial performance along with our forward-looking statements on the expectations for future performance. The forward-looking statements inherently involve risks and uncertainties' that may cause actual operating and financial results to differ materially. These risks and uncertainties include our ability to successfully implement our growth strategies including executing contracts for new clients enrolling children in our centers, retaining client contracts and operating profitably in the U.S. and abroad, secondly our ability to identify complete and successfully integrate acquisitions and to realize the attendant operating synergies. Three, the decisions around capital investment and employee benefits that employers are making. Four, our ability to hire and retain qualified teachers and other key employees and management. Five, our substantial indebtedness and the terms of such indebtedness and lastly the other risk factors that are set forth in our SEC filings. We will also discuss certain non-GAAP financial measures on this call which are detailed and reconciled to their GAAP counterparts in our press release. So Dave back to you for the review and update.
David Lissy: Thanks Elizabeth and hello again to everybody on our call today. As usual I'll kick things off and talk about the financial and operating results for the quarter and the year and then I'll discuss trends in the business as we kick off 2015. Elizabeth will then follow with a more detailed review of the numbers and will be back to you for Q&A. So first let me recap the headline numbers for the fourth quarter. Revenue of $338 million was up 6% over the prior year and adjusted EBITDA of $61 million was up 14%, adjusted net income of $25 million was up 22% over the fourth quarter of 2013 which yielded adjusted earnings-per-share of $0.39 up 22% from last year's fourth quarter. Our revenue growth of $19 million was in-line with our expectation in Q4 and reflects continued solid performance across our suite of offerings. Full service revenue was up $12 million over last year, backup revenue increased 14% to $42 million in the quarter and net advisory services grew 22% to $9 million. In the quarter we added nine new centers with some highlights that included additional centers for Cisco in the UK, Shell in Houston as well as several centers for three large hospital system systems in North Carolina, Oklahoma and Virginia. In addition we acquired a two center group in Manhattan back in November. In our emerging backup and net advisory businesses we remain excited about the growth momentum with recent new client launches that include Apple Qualcomm, Direct Energy, Stanford University and the UCLA Health System. We continued our long-term track record of growing operating income in 2014 increasing 70 basis points to 11.1% for the full year. This past quarter adjusted income from operations of nearly $40 million expanded a 180 basis points to 11.7% of revenue driven by the factors that we talked to you about in the past. These include the continued positive enrollment trends in our mature class of P&L centers which are up 2% over last year, price increase averaging 3% to 4%, contributions from new and ramping centers, strong performance in our back up and educational advising segments, the closure of a cohort of underperforming centers and overhead leverage including the synergies we realized from our 2013 class of acquisitions. These factors which all create margin improvement continue to be offset once again this past quarter by the losses associate with the larger classes of newer lease consortium centers we have opened. While this headwind has and will continue to decrease as these centers ramp up into 2015 and beyond as we discussed before the near-term losses and the time they take to reach maturity dampen gross margins. As a reminder though on a fully ramped up basis these lease consortium model centers generate the highest margins of our full-service center models. In addition to our operating results as you know we're busy executing a few capital markets transactions in the fourth quarter. In conjunction with a secondary offering to sell a portion of bank capital, stake in Bright Horizons we bought back 4.5 million shares. Prior to that we amended [ph] our credit agreement in November to permit some additional flexibility with respect to share repurchases and through that process had also determined the favorable credit market conditions supported some modest incremental borrowing. As a result we borrowed 165 million and used the proceeds from that incremental term loan along with cash available from operations to make that block trade in December. We have effectively exhausted our previously authorization, today we’re announcing that our Board recently authorized the new share repurchase program for up to $250 million. As I talked about before our authorities for capital allocation are first, growth oriented investments and acquisitions in new lease model consortium centers and second to enhance shareholder value through our repurchase program. Overall I'm pleased with our strong operating performance in 2014 and remain incredibly proud of the work of our team and achieving consistent strong results. So now that we have kicked off 2015 I want to update you on our expectation for the coming year and beyond. As I noted the last time the selling environment for our services has improved over last year and we’re very pleased with the results we’re presently achieving. It's now more common for us to begin a new client relationship with more than one of our services as employers have recognized our ability to touch more of their employees with services that help them to be productive. Our strategy to open new lease consortium centers in urban ring locations is working as we're seeing new centers both ramp up on plan and help us to deliver backup care through Bright Horizon centers in key locations where demand is the strongest. While this rollout is currently a short-term drag on gross margins we fully expect this to be a strong value creator going forward. We’re also excited about the ongoing opportunity that both our back up and educational advisory segment had to grow faxed or than our core business and contribute to our ability to drive margin expansion. It's great synergy between all of our services in terms of deepening the value proposition that we have to touch more of the employees of our clients across stages any work locations across the world. On the opposition front as most of you know we enjoyed an outsized year back in 2013 with two significant at least for us multisite transactions in the U.S. and the UK. Although we broadly delivered on our overall plan this past year in 2014, we did not achieve our targeted typical number of smaller acquisitions which explains our lower number of overall new center openings this year compared to our initial target. As we seen over the years, closing deals larger and smaller can be lumpy. But the good news here is that we've rebuilt a pipe line and have increased visibility on potential deal flow. The two center deal we completed this past quarter is an example of the kind of high-quality strong contributing centers we look to acquire in these type of tuck in deals. We therefore expect that this kind of activity will translate into a more typical run rate of acquired centers in 2015. On the operating side were pleased to continue to see positive enrollment trends in our mature basis centers. This is been tick which are in the U.S. where we suffered the greatest loss during the downturn and have steadily rebuilt this year and anticipate continued expansion in 2015. We expect price increases to average 3% to 4% across the network in '15 and to maintain a 1% or so spread between our price and our anticipated center cost increases. As we embark onto 2015 our business is well-positioned to continue to benefit from the positive trends and operating execution that contributed to our strong performance of the past few years. Like many other multinational companies one variable that we need to factor into our guidance relates to the foreign-exchange rates. But we previewed for your our outlook for 2015 it included an expectation of relatively stable pound and euro exchange rates and as you know we've recently seen more volatility. Predictions for the rest of the year are now lower than our initial expectations. Therefore we’re widening the range of expectations to accommodate a potential continuation of lower FX rates which results in topline growth rate target of 7% to 10% over 2014 which considers a currency headwind of approximately 1.5% to 2%. We expect to expand adjusted operating income margin by North of 100 basis points in 2015 and to produce adjusted EBITDA in the range of $270 million to $275 million. That's our guidance for adjusted earnings per share for the full year in 2015 approximates 20% growth in the range of $1.71 to $1.75. As we had announced back in January Mary Ann Tocio our President and Chief Operating Officer has announced her plan to retire from her day-to-day role this coming June. After that time she's agreed to remain on as an advisor for me and will continue to serve as a member of our Board of Directors. Mary Ann has made incredible contributions to the success of Bright Horizons over her 23 year tenure. Among her greatest accomplishments has been the to develop a deep bench of operations talent and share her unique blend of compassionate leadership. According in June, Mary Lou Burke Afonso a 19 year veteran of the Bright Horizons will assume overall responsibility for our U.S. center operations reporting to me. Chief Development Officer Stephan Kramer will continue to lead our business outside of the U.S. and oversee our backup and advising and growth teams. Stephen and Mary Lou are among a group of very talented leaders in the Bright Horizons family who are well-positioned to help us to continue our long track record of success in all that we do. With that I will hand it over to Elizabeth to take you through the numbers in a little more detail and I'll be back to you during the Q&A. Elizabeth?
Elizabeth Boland: Thank you Dave. So again to recap top line revenue growth in the fourth quarter was $19 million. The full service center added $12 million on rate increases the enrollment gains in our ramping centers and the mature class and contributions for the 33 new centers we’ve added since Q4 of '13. We saw modest drop in the foreign-exchange rate at the end of 2014 compared to 2013 as well which dampen the revenue growth slightly by about $2 million. And the impact of center closures also offset the top line growth in full service. The backup division in net advisory services continue to grow the topline from both new clients and expanded utilization of services by our existing client base. Both profit increased 9.3 million to $80 million in the quarter and gross margin was 23.8% of revenue compared to 22.3% in 2013. As we’ve seen in prior quarters our back up and net advisory services both continue to deliver strong gross margin performance in concert with their revenue growth. And on the full service side performance remained strong in our mature and ramping class of centers. The steady pace of year-over-year enrollment gains in the mature class continued for the fourth straight year in 2014. We’ve realized approximately 2% increase in both the fourth quarter and the full year of '14. Strong cost management alongside this enrollment growth plus the exit from underperforming locations contribute to the margin expansion. Countering this positive trend as you've heard is the effect of the two years of larger classes of lease consortium models. Although we've incurred roughly similar levels of losses from this group in 2014 as we incurred in 2013, around $8 million or so, there is still a headwind to the gross margin. The 2013 is now generating profit gross profit but that modest dollar contribution in their second year of operation on growing revenue for these centers is still not positive to the margin percentage. With the third year of operations for that 2013 class and the ongoing ramp of the 2014 class, this headwind begins to abate in mid-2015, even with another class of new centers that will be opening. Overhead in the quarter adjusted to exclude the transaction costs associated with the secondary offering and the credit agreement amendment totaled $2.2 million in Q4. The overhead without that was $34 million compared to $32 million last year approximately 10% for both periods. We’ve reduced adjusted overhead for the full year from 10.2% to 10% of revenue for the full year and overtime we expect to continue to leverage our overhead spend and investments to support growth at levels similar to the 20 basis points that we’ve realized this year. Interest expense ticked up to $8.9 million in the quarter in connection with the issuance of the $165 million term loan in mid-December. We also acquired a total of 4.8 million shares for a total of $240 million in the quarter including that 4.5 million share block that we acquired that Dave mentioned. Including this additional debt tranche, we ended the year with just over 3.5 turns of net debt to EBITDA and we would that to further reduce EBITDA growth in 2015. Looking at a couple of other elements on the balance sheet and cash flow statement we generated operating cash flow of $53 million in the quarter and 175 million for the full-year which is up $15 million from 2013. After deducting maintenance CapEx our free totaled $41 million for the quarter and was 143 million for the full year. We ended 2014 with $88 million in cash and no borrowings outstanding under our revolver. For the year-end operating statistics at December 31st we were operating 884 center with a capacity of 101,000. That's a new threshold we've just crossed. The mix of contract types remains consistent 75% profit and loss arrangements and 25% cost plus contracts. As is the average full service center capacity which is 137 in the U.S. and 78 in Europe. As Dave previewed our outlook for the full-year 25 anticipates revenue growth approximating 7% to 10% of 2014. Let me break it down for you. Organic growth approximates 8% to 10% including 3% to 4% price increase 1% to 3% coming from growth in enrollment in our mature and ramping centers 1% to 2% from new organic full-service center, 1% to 2% from the backup and educational advisory services and in addition to that acquisitions would add approximately 1% to 2% as well. Offsetting these increases are the effects of center closings which include both legacy organic and some legacy acquired centers as we have mentioned in the past and that approximates 2%. The other element is projected reductions from foreign exchange rate differences of 1.5% to 2%. We’re planning to add a total of around 45 to 50 centers including organic acquired new and acquired centers and our current outlook contemplates closing in the range of 25 centers. We expect income from operations in 2015 will expand to 100 to 125 basis point from the 11.1% adjusted income from ops that we reported for 2014 on both gross margin expansion and the modest overhead leverage that I mentioned. We expect amortization expense to be relatively consistent with the $29 million we reported in 2014 and for depreciation expense to approximate $55 million to $58 million. We would expect stock comp expense to tick up slightly to a range of $9 million to $10 million, interest expense is estimated to be around $42 million for the full year including the effect of the incremental $165 million term loan that was borrowed mid-December so including that for the full-year and it assumes continued 4% to 4.5% borrowing rates on our term loan's as well as no borrowings under the revolver . We estimate that the effective tax rate will approximate 37% of our adjusted pretax income in 2015 which is broadly consistent with the projected GAAP reported rate for the full-year 2015. A combination of topline growth in operating margin leverage leads us to project adjusted EBITDA to increase to a range of $270 million to $275 million for 2015 and adjusted net income to be in the range of $108 million to $111 million. While we expect the share buyback that we completed in December of 2014 to add roughly $0.03 to $0.04 a share after considering the incremental interest expense for recurring, this is essentially offset by the projected foreign-exchange impact that we've spoken about earlier. As a result we estimate that adjusted EPS will increase to a range of $1.71 to a $1.75 in 2015. Also for the year we’re estimating weighted average shares to range between 63.5 million and 64 million shares. Lastly for the full year we project we will generate approximately 180 million to 190 million of cash flow from operations or a 145 million to 155 million of free cash flow net of the projected maintenance capital spending of 30 million to 35 million. Based on the centers in development and slated to open in 2015 in early 2016 we expect to invest approximately 50 million to 55 million in new center capital and we would expect to fund all of these investments from operating cash and to end the year with a range of 140 million to 150 million in cash on hand. Looking specifically at Q1 as Dave mentioned in his remarks we completed fewer acquisitions in '14 than in our original target had contemplated, so we have a lower increment from new acquisitions in the early part of '15 and would expect that that year-over-year growth rate with pick up as the year goes on. With the impact of the lower foreign exchange rate we’re already seeing this year our estimated revenue growth for Q1, '15 is therefore similar to what we reported for this past quarter were approximately 5% to 7%. Our outlook for adjusted EBITDA proximally $64 million to $66 million and for adjusted net income to be in the range of $25 million to $26 million. With approximately 63.5 million shares outstanding this would translate to adjusted EPS in the range of $0.40 per share to 416%.
David Lissy: Thanks Elizabeth and with that Jen we’re ready to turn it over to you for Q&A.
Operator: [Operator Instructions]. Our first question comes from the line of Sara Gubins with Bank of America Merrill Lynch. Please proceed with your question.
Unidentified Analyst: This is David [ph] for Sara Gubins. Elizabeth, I'm sorry, I missed the margin guidance for the year. Can you just repeat that please?
Elizabeth Boland: We had said that the operating margin would expand 100 to 120 basis points.
Unidentified Analyst: And then in terms of the gross profit that we saw in the fourth quarter saw some nice leverage, just it appears that there were some outside gains and I don’t know if it's just an easier comparison but can you speak to that.
David Lissy: Yes part of that as you said is the comp but the other pieces really are what Elizabeth talked about before enrollment trends and mature business continue to be positive slightly outpacing what we had anticipate in the quarter which is a positive against solid management and then also the closing of the cohort of underperforming centers that we had closed as we had talked about in the past that it has a certain decrement effect to revenue but is a accretive on the margin side. And then lastly back up at and our advisory services continue to -- I think contribute nicely to it. So add all that together and ultimately you have the reasons that we saw that nice pick up on the margin side.
Unidentified Analyst: And just last question, some good color in terms of acquisition time but just overall in terms of new center timing should we think about it pretty evenly spaced over the course of the year or would it back half loaded?
David Lissy: I think the acquisition piece of things is likely to be lumpy as it always is and hard to project in terms of exactly when it would hit in the year. On the organic side it's also slightly lumpy. We have some control over that with respect with lease consortium models that we opened but on the client centers it's a little bit subject to their own construction schedule, so I would say broadly speaking slightly more in the sort of middle third quarter -ish time frame if I was looking right now, but that’s sort of what we see for now.
Operator: Thank you. Our next question comes from the line of Gary Bisbee with RBC Capital Markets. Please proceed with a question.
Gary Bisbee: So the end advisory business it continues to do really well. The growth of the top line decelerated a little bit but still obviously really strong. The margins were really pretty spectacular in the quarter. Can you give us a sense how we should think about just -- what would be reasonable expectations for the business in 2015. Is that same ballpark 20% or the area that they have growing the top line reasonable and how about the margins? Is this a sign that investments are really getting leverage or is there likely to be more investment next year that maybe makes the margin not be this high?
David Lissy: So broadly on ed advising businesses, we do obviously continue to believe there's a lot of whitespace left in what we’re doing there and we’ve really brought and expanded an idea to market that we’re very much in the -- still in the missionary phase of trying to sell and gain momentum in the market. We're expanding the resources we have dedicated to selling that service in 2015. But I would say that given what we can see now we do see North of 20% growth in that line of business, in that range for 2015 and as you noted in Q4 you saw a pickup in terms of the operating margin in that line of business and I think we're beginning to see leverage. We will clearly going to make some investments that I just noted in the growth of it because it's still early stage and we want to be sure we’re trying to grab as much as we can given the strong value proposition. So I don't think you'll see -- it may not continue to rise at the level it did Q4 versus Q3 but what we’re targeting ultimately ed for advising is an operating margin that mirrors backup, we think that’s probably a good analog for it. But obviously it's a much smaller business today and so I would expect that there will be a slightly pick up in '15 on the margin side over what we produced in 2014 but probably won't realize its full margin potential for another two or three years.
Gary Bisbee: And then on back up how do we think about how you are in terms of the growth? It continues to grow double-digit obviously the margins there are good. But are you feeling like you're getting close to having penetrated at least a decent portion of the potential clients or is there still an awful lot of potential for this business over the next several years?
David Lissy: Yes we still believe there's good whitespace left on the backup side. We think again the value proposition there allows us to both go upmarket to the largest employers and also to even smaller employers than our center base business has traditionally been attracted did -- was able to attract. So I think it's just a much broader market in terms of the size of employer that we can engage with on the backup side. So I think we feel good that the backup business will grow double digits in the range of where it did this year in 2015 and still from what we can see now we still feel like there's good growth opportunities for a while out there.
Gary Bisbee: And just one on the lease consortium centers, you talked for a long time about the model having better gross margins. Two questions on that, number one, is that largely because they are bigger on average than a lot of the single sponsor centers or is that also becoming partly because they are able to be leveraged through the backup is this? And I guess I wonder you’ve talked a lot about the gross margin I’ve never really heard you comment on potential on the operating margin level. I realize they are subscale today because you've opened a lot recently and they're not mature but should we think that that growth margin premium flows through to better operating margins for the whole center based segment over the next couple of years? Thank you.
David Lissy: So just to be clear about this is a really good question and one that I think sometimes is misunderstood work, it's not that the new lease consortium models are that much bigger in terms of larger capacity it's that where they are being located in and around major metropolitan areas like the New York area or Boston or San Francisco are places where tuition on average is much higher than the rest of the country. And so the actual -- what they generate in terms of revenue and ultimately margins not just on a percentage basis but an actual dollar amount is more said never again in many cases you know 40% - 50% more that we generate in actual dollars of margin from our historic base of those kinds of centers. So that's one major factor. The other two factors that really play in are aside from backup many of our lease model consortium centers enjoy direct sponsorship from a variety of different employers on the full service side. So that obviously helps and adds to the mix and then lastly as you noted Gary backup is the third sort of leg and allows us to actually add more to what those centers can produce. I would expect that once those centers can reach maturity much like their peers in that type of center that that will flow to the bottom line so it's not like these have so much -- are radically different overhead structures associated with them that would not allow that to flow through. So that's why we’re excited about that value creation that they can produce over the course of next couple of years.
Operator: Our next question comes from the line of Manav Patnaik with Barclays Capital. Please proceed with your question.
Manav Patnaik: So firstly you mentioned you have a pretty good visibility ability into your typical acquisition that you make so I think if I look at the guidance that you provided is it fair to assume that your sort of acquisitions spend that you've typically guided it before is going to like in the 40 million to 50 million range?
Elizabeth Boland: I'm not sure I follow your question. You mean in revenue?
Manav Patnaik: No I mean just the amount of dollars you’re going to spend for those acquisitions I guess.
Elizabeth Boland: So for this year we have sort of a typical cohort which would be in the range of the equivalent of 15 to maybe 20 centers. The center probably is equivalent to 15 and that would translate to something more or like 25 million to 30 million of acquisition spending.
Manav Patnaik: And then you gave us the operating margin expansion. Any color on gross margins, what sort of range we should think about there?
Elizabeth Boland: So the gross margin range would be I mentioned that we're expect to see some overhead leverage in the 20 basis points arena so gross margins are going to expand in the neighborhood of 50 to 75 basis points. We have got some steady amortization expense and so that helps us leverage the operating income as well.
Manav Patnaik: And then in the press release you mentioned, Obama has mentioned the State of the Union speech. I was just wondering if you could just give us some color on how you could take advantage of those initiatives and how that would play out for you guys.
David Lissy: Yes my mention of it was really in line with sort of whenever early childhood education is talked about in that way and really put in economic turns which is how we have been trying to frame it for almost 30 years, I think it's good for us and sort of the attention that people pay to it just gets that much more increase. So for us it's being more of a -- we've used that as a way to try and engage more employers and more people on the subject. I'm not optimistic that federal government initiatives are spending around in this area, we will have a big impact directly on Bright Horizons because I think most of what's been announced goes to children most in need which I would agree with in terms of priority of where to spend first. And many other programs that exist today that support children in need in communities and cities across the country. I think we will see some increased funding and hopefully we can broaden the quality and impact of those programs. I'm not very optimistic that there will be much change. We don't get today much of our revenue from government sources and I don't foresee a big change in that. So my comment there was more around I think it's always good for us when this issue gets framed in economic terms and watching that happen at the State of the Union, I think it was good for us and sort of the contact we have had with clients around that has been really positive.
Manav Patnaik: Again if I can just squeeze one more quick one and just in terms of obviously you have got the strengthening dollar. Any plans of using that to your advantage to build your international footprint?
David Lissy: I think building our international footprint with respect to the countries that we're in today is part of our strategy. So we are very much interested in expanding our business in the UK and Ireland and the Netherlands where we exist today and thinking of what to do in India where we are today. With respect to where we're not today and where there might be opportunity in the future, I think that it's a broader question than just the sort of exchange rate. I think we are interested in some day expanding our footprint beyond the countries that we currently operate in. And we have done some stage work on that and continue to be engaged in several places around what opportunities might exist. But again I don't foresee that as a 2015 event based on what I know now but rather a longer-term opportunity for us down the line.
Operator: Thank you. Our net question comes from the line of Nick Nikitas with Robert W. Baird. Please proceed with your question.
Nick Nikitas: Just following along the lines of international question just looking at the full service center I know you mentioned the continued strength in larger city location within the U.S. but any differences between the U.S. and UK locations currently?
David Lissy: Well the main difference between the U.S. and the UK has been the recovery of enrollment, we suffered more of an enrollment decline back in 2009 and 2010 in our mature class of profit and loss centers. We didn't see quite the same effect in the UK. In fact it might have decreased 1% or something but nothing near what we saw in the US. So the may difference has been the effect of recovering a lot of that enrollment and a positive impact that sat on our U.S. gross margin. So it just wasn't as much to pick up in the UK and although we see steadiness in the mature base, it's not the same effect in terms of what's happening in the US.
Nick Nikitas: And just the strong growth and backup all this weather talk, was there any outside benefit in 4Q or just going in early 2015 any increased demand from the current weather that's going on?
David Lissy: I don't think it will have a material impact on our financial results, Nick. I think obviously when weather like this happens backup care becomes -- the demand for backup care becomes extremely strongly and we get a chance to sort of show our stuff in terms of the value that we create for our employer clients with backup care. We’re proud of the fact that we got our centers open faster and kept them open when many other providers were closed across the various places where we saw severe weather so our team really rallied and our clients counted on us and we stepped up and so it's always good for us to prove our value proposition during these times. I'm not clear that it will have a major effect on the financial results.
Elizabeth Boland: It's a good client relationships builder for sure.
Operator: Thank you. Our next question comes from the line of Jeff Silber with BMO Capital Markets. Please proceed with your question.
Jeff Silber: Actually just a quick follow-up for Manav's question, you had mentioned the acquisition impact for potential acquisition impact in terms of cost. What incorporated in your guidance what is the impact on revenues?
Elizabeth Boland: Is between 1% and 2% so it would be the equivalent of $20 million or so of revenue.
Jeff Silber: We can get back into that. And then from an FX impact can you just remind us where your exposures are and which three of your segments has the most exposure?
Elizabeth Boland: Yes, so it's mainly in the full service segment. We have a it a backup in the UK but it's not significant enough probably to move the needle here so it's full-service and we have pound exposure and euro. So we have the euro in the Netherlands and a smaller chunk in Ireland and the pound is the bigger exposure with our UK operations being -- it's the lion share of our European business.
Jeff Silber: And is there a rough percentage breakdown in terms of percentage of revenues?
Elizabeth Boland: Roughly, I'm just trying to do the math. It's probably 80% in the UK.
Jeff Silber: Okay, 80% in the UK. And again international as a total percentage is roughly what?
Elizabeth Boland: International as total is around 20%.
Jeff Silber: And just one more follow up, I'm sorry. One of your competitors had a measles outbreak in one of their centers in Illinois and I know that they are vaccinating off staff. Is that something that your company does or will be doing.
David Lissy: Yes. We are always a pay attention to this long before that. We heard about that. We haven't cases in our centers but certainly once we heard about outbreak in California, we got on it. Our biggest concern of course is that we care for children under the age of one year that don't have the choice to be vaccinated. And so what we've done to be sure we’re doing our best as we've done in other situations where we've had these kind of things happen is we've taken the steps to ensure that all the caregivers and teachers that interact with those children are vaccinated and that there is no interaction with others that aren't vaccinated. So we've taken steps Jeff to ensure that happens. We provide vaccinations cover through our health plan so it's not -- it's always been something our employees can take advantage. But yes across the country we're assuring anybody working with children who don't have the choice to be vaccinated, any adult is working in that scenario is vaccinated. And that’s a process that we've been going through for a while.
Operator: Thank you. Our next question comes from the line of [inaudible]. Please proceed with your question.
Unidentified Analyst: Elizabeth I wanted to ask about the margin expansion that is associated with utilization of the full-service centers. How much has utilization come up and where could utilization of full-service centers go?
Elizabeth Boland: So in the class the mature class of centers the utilization has been increasing this year was about 2% year-over-year. We’re at roughly 75% utilization in those centers in the core enrollment. So we would target, what we have seen is sort of stabilized mature center level would be 78% to 80% so we have call it 3 to 5 percentage points still to gain back. I think our projections are longer-term plan would look to around 1% and 1.5% continued year-over-year gain in that cohort of centers over the next three years and may be that we would reach steady state after that and we would still have the enrollment gain from the ramping classes that are opening each year but that mature class would be targeted to be sort of back to it's mature level in another three years.
Unidentified Analyst: Dave, I'd like to ask about extreme childcare. We've read about more demand for night shifts in the UK. Is this something that Bright Horizons is offering, is this an interesting opportunity?
David Lissy: I haven't heard it Andrew, called it extreme before but that’s interesting. Our view on when we provide care and how we provide care tends to really the in-line with the employer clients that we’re serving and the needs of their work force. So for example at several automotive plants around the U.S. we operate 24 hours a day to accommodate shiftwork. We may even operate -- I don't think we have 24hrs outside of the U.S. but we certainly have in other manufacturing environments in places like the UK, 16 - 18 hour type operations to accommodate shift work. The challenge of course is there is always a lot of interest in these things as we interact with our employer clients. And then it comes down to kind of the cost-benefit of how much of their work force will actually invest in it. To directly answer your question, I don't see it as a commercial opportunity in that something I'd be comfortable taking a lot of risk on in order to earn our earnings through taking risks. In each of these situations we tend to run these call it extreme programs if you will on a cost-plus basis and we partner with our client and we're in a fee for it because the demand predicting demand in those sort of off hours proves hard to do and while it can be really important for an employer to serve a certain number of employees no matter what, it can be very hard to earn a fair amount through for what the effort is that we have to put in to make it happen. So we continue to look at it employer by employer, but I don't see it as a big opportunity.
Operator: Thank you. Our next question comes from the line of Jerry Herman Stifle. Please proceed with your question.
Jerry Herman: Just want to ask about acquisitions again. Dave, what do you guys see on acquisition pricing particularly in light of the strengthening economy and is that -- is there any reason for the slowdown in acquisition activity in fact cause of price inflation on deals?
David Lissy: I think Jerry in the latest deals that we done and just broadly in what I see in the pipeline today, I think that what we will end up paying pretty similar what we have traditionally paid five to seven times EBITDA which is our typical range historically. Of course the differences become on the smaller stuff where there is no pipeline, there is no real growth opportunity, there is not a real lot of overhead synergy, that tends to be in the sort of five, six-ish range and then on the larger things that we look at whether it's multiple sites and some overhead structure that's where we can be effective in gaining some synergy, not that we want to pay for all that synergy but certainly I think in those ranges it tends to be more six or seven times is what we're paying. And we really haven't seen a big challenge to that competitively so it's not as if in the cases where we felt competition for any acquisition that we’re doing, that we’re seeing at least in the U.S. much difference. In the UK every once in a while on the larger deals there may be someone who is being a little more aggressive. But usually it's not just about the multiple as you know it's the multiplier and what your sort of factoring in. And so it's hard to know where they're being aggressive but sometimes in the UK we will see a little more aggressiveness than we see here in the U.S.
Jerry Herman: And just one for Elizabeth. Elizabeth, you mentioned the dilution let's say associated with lease consortium at roughly $8 million I think last year and probably the year before. How should we think about the swing factor for 2015, how much of those come down in that particular cohort or those be cohort?
Elizabeth Boland: Yes, so the way to think about it is that essentially the 2013 class is now contributing slightly, so if they had $8 million of losses in 2013 they are contributing modestly in 2014 and the 2014 class is losing around $8 million or so. And then in 2014 the 2014 class begins to breakeven mid-2015. So in terms of the swing factor, what you would have the 16, 17 centers or so would be getting toward their mature revenue levels. They won't be all the way, the range is around call it 2 million - 2.5 million in revenue at maturity they would be in the range of $2 million maybe for the year in their third year and then they would be contributing probably in the range of 15% to 17% in their third your and then they reach their full maturity by the end of the year. So the swing, it's a little bit of math there but I think the point is that there's contribution in the third year that is now producing margin as a percentage of revenue to the overall mix that's modestly positive in the third year of this investment.
Operator: Thank you. Jeff Lee with Wells Fargo. Please proceed with your question.
Jeff Lee: First let's talk about industry mixed trend. Are there any points a weakness?
David Lissy: I think broadly what I have commented on before still is the case. I think I would point most recently to technology and hospital and healthcare and higher education as being three of the top areas for us, biotech another one. So broadly speaking I think it's pretty similar to what I had commented on the last time.
Jeff Lee: Can you also talk about the opportunity for cross-selling and maybe give us a quick update their?
David Lissy: Yes, as I said earlier I think it's more common for us not to bundle some subset of our services with new clients than it has ever has been in our past. And so that’s been a strategy that's working really well. It's hard to sort of deal in percentages because every year we acquire a number of clients and some start out with multiples but a lot start out in with 1,2 and so the denominator keeps sort of increasing on us. But I would say that we’re happy to see the number of multiple site client that we have continue to tick-up and it puts us in a good position to try when we only start out with one service to try to convert them later on. So I feel really good that the suite of services as I said earlier have a lot of -- they make a lot of sense to be offered together. They are hitting different key life stages of any given employers population, so much differently than 5, 10 years ago when we essentially dealt just with the section of the employer's population that had children under the age of five, we now serve can help an employer really with people at every stage of life with services that help to be more productive or have a healthy integration between work and life. So I think it's working really well, I'm pleased with it and I expect as we go forward more and more clients will start with multiple services and will sort of catch up with a lot of the ones that only have one with us when we didn't have all these services.
Operator: Thank you. Our next question comes from the line of Anj Singh with Credit Suisse. Proceed with your question.
Anj Singh: I wanted to reference an earlier question on utilization. I wanted to see to see if you think the GAAP to the historical norm of the 78% - 80% level that you're targeting. How does that what's involved in closing that gap. Is it all more just a question of the cycle gaining more strength or do you believe that there still might be some more pruning that you need to do of underperforming centers?
David Lissy: I think that when we talk about the 78% to 80% we talk about that broadly across the mature base of P&L centers as the enrollment levels that we were at pre the downturn. So of course in that portfolio of mature centers our centers that are -- there's always going to be some small amount that might turn into underperformers over the course of a long period of time. But that number sort of includes the whole portfolio as a whole. Some that are obviously producing better than that and some producing better than, and a some of that are producing less than that to get to that average and so I think what's really involved is both as you say economic recovery but also remember that most of our excess capacity at this point that exists in the system is in the preschool classroom which are 3 to 5 year old children and a lot of the initial pickup we got was in the younger age groups and infant toddler where capacity constraint most in the youngest groups, we have the fewest spaces for infants where there is the greatest demand. And so the preschoolers have to grow up with us over the course of two, three years and then of course every year we graduate a class of those preschoolers and so there is this process of rebuilding this preschool classrooms that's a multiyear process and keeping this preschool classrooms full or at the levels that we would consider full really is the challenge and we’re certainly on our way there and as Elizabeth mentioned we probably picked up five points of occupancy over the course of the past of few years, but probably have 3 to 5 points left and so it's a combination -- economy been stronger and the places where these centers exist and then also employment being stronger in the places where these centers exist. And then also the natural cycle that it takes just by nature of how enrollment typically froze [inaudible].
Anj Singh: Dave another one for you, the strong selling environment that you referenced, could you just help us break that down a little bit more in detail. Is that primarily just helping your cross-selling initiatives or are you finding the missionary sale also easier to close? And is it doing anything on the front of pricing to the individual families as well?
David Lissy: Well when I referenced the strong selling environment, I'm talking about the employer market and kind of the activity levels of the sales team and sort of the amount we measure our pipeline and look at past volume in the pipeline and time to close and all the things that I'm sure every organization looks at. And when I look at those sort of front in things really since the end of the third quarter of last year our sort of prime selling season for the beginning part of this year, we started to see pick up and that momentum is continuing. And mostly when I'm talking about what I'm hoping that results in is organic new employer-sponsored centers which is a piece of that and as you know those take a long time both to get to yes and ultimately to get sit in the pipeline and get built and then also new backup clients, ed new advisory clients and new clients across the suite of services. So that's what I'm referring to when I said that the employer market. We obviously talked about enrollment direct to consumer as it relates to parents enrolling in our P&L centers. And what's going on there and all the past comments we've made.
Operator: Thank you. Our next question comes from the line of Brandon Dobell with William Blair. Please proceed with your question.
Brandon Dobell: Maybe back to the industry comment, Dave. How important has Texas and I can guess and/or the energy industry been, that’s a growth driver over the past couple of years and from a 2015 what [inaudible] you’ve made about either adding centers in that industry or seen any weakness in utilization from those kinds of companies?
David Lissy: We did see some momentum in the energy sector in the past couple of years and that's resulted in new centers for several client's. Exxon Mobil, Shell, a number of the big will companies we've been fortunate to open centers for and those centers are doing well. They are on large campuses and there may be some -- you know who knows what's going to happen in terms of employment sizes but I think the center sizes are of a [inaudible] demand is really strong and feel fine about the footprint there. I suspect that the place that we will see some downward trend is in the prospecting phase of new energy clients. We haven't seen it yet per se in any kind of pervasive way but I suspect that it won't be as robust for us in terms of converting new business in that sector in the next year or two until things sort out as it might be in the long run. But in terms of install base, energy is de minimus amount of our installed clients. I've highlighted it before because it was -- there were some newer ones but in terms of these installed base clients it's very small.
Brandon Dobell: And then going back your commentary about the trajectory of the mature center utilization, looking back the past handful of years when you got that hits up against that high's 70s, 80% level where it gets pretty full, how often have you guys taken advantage of an opportunity to increase the center size, maybe move it to a location where you’ve got another 10, or 15, or 20 available seats or is it just hits that high 70s, 80s and that's going to be it?
David Lissy: Yes. Again to my earlier comment the high 70s, 80% is an average across a wide number of center. So some centers will get to 85, 86, others -- so that depends on the location, it depends on the timing of enrollment, age mix as I’ve talked about before. Ever year Brandon, -- and we've historically done this, we do try to work with our clients where we see demand to be strong or centers that we have control of ourselves to look at expanding rooms, adding capacity and we do as some capacity to existing centers across the network in ever year. And of course we’re going to do that in places where not only demand is strong in the present but where we suspect it will be strong a year or two, three, four, five down the line. So we'll continue to do that in 2015. I think there will be some opportunistic ways to increase capacity in certain centers, but again it's something we've done historically.
Brandon Dobell: And a final quick one for me, you talked about growth opportunities the ed advisory business. From I guess sales perspective or business development perspective, headcount wise I guess adding people there or is it just giving them a broader opportunity to go do what they're doing already?
David Lissy: I think we're very focused on the sure that we don't under invest in sales and marketing resources to take advantage of what we see as a big opportunity out there. So both this past year and again in 2015 we’re going to increase our investment as I talked about earlier in the resources that are chasing clients for that business.
David Lissy: Okay I think Jen any more -- I think we’re pretty much to the end of our timeline so let me close by thanking everybody for joining us on our call today. We look forward to seeing you on the road at some time soon and of course we’re here with questions. Have a good night.
Elizabeth Boland: Thanks everyone.
Operator: Thank you. Ladies and gentlemen this concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.